Operator: Good morning, and welcome to the Delek US Holdings Second Quarter 2020 Financial Resutls. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Blake Fernandez, Senior Vice President of Investor Relations. Please go ahead, sir.
Blake Fernandez: Good morning. I would like to thank everyone for joining us on today's conference call and webcast to discuss Delek U.S. Holdings' second quarter 2020 financial results. Joining me on today's call is Uzi Yemin, our Chairman, President, and CEO; Assi Ginzburg, EVP and CFO and Louis LaBella, EVP and President of Refining; as well as other members of our management team. The presentation materials used during today's call can be found on the Investor Relations section of the Delek US website. As a reminder, this conference call may contain forward-looking statements as the term is defined under Federal Securities Laws. Please see Slide 2 for the Safe Harbor statement. In addition to reporting financial results in accordance with generally accepted accounting principles or GAAP, we report certain non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the comparable GAAP results, which can be found in the press release, which is posted on the Investor Relations segment of the website. Our prepared remarks are being made assuming that the earnings press release has been reviewed, and we are covering less segment and market information that is incorporated into the second quarter release. On today's call, Reuven will review financial performance, I will cover capitalization, liquidity and guidance, Louis will cover operations and CapEx, then Uzi will offer a few closing strategic comments. With that, I'll turn the call over to Reuven.
Reuven Spiegel: Thanks, Blake. On an adjusted basis, for the second quarter 2020, Delek US reported a net loss of $111 million or $1.50 per share compared to a net income of $98 million or $1.27 per diluted share in the prior year period. Our adjusted EBITDA loss was $85 million in the second quarter of 2020 compared to $211 million income in the prior year period. Adjusted results include $75 million of after-tax headwind or $1.02 per share. This is comprised of an after-tax other inventory and purchase product loss of $92 million, realized hedging losses of $104 million after-tax partially offset by a fixed price crude benefit at our Tyler Refinery of $85 million after-tax. Lastly, adjusted results reflect a reversal of the $36 million tax headwind disclosed in the first quarter of 2020. I would point out that the other inventory and purchase products mentioned are separates from the LCM inventory index that is already excluded from adjusted results. On Slide 4, we provided a cash flow waterfall. In the second quarter of 2020, we had negative cash flow of approximately $169 million from continuing operations, which includes a working capital decrement of $363 million. Within working capital is $130 million of income tax credit where we expect to receive the cash in the first part of 2021. Finally, cash capital expenditures in the quarter were $15 million. With that, I will turn it over to Blake.
Blake Fernandez: Thanks, Reuven. Before discussing the balance sheet, I would like to highlight some additional disclosure in the press release this quarter. Details of other inventory and purchase product impacts are highlighted within the verbiage of each business segment and broken down by refinery within the refinery segment. Page 10 outlines the details of both realized and unrealized hedging by segment. Finally, I would like to point out the Gulf Coast 5-3-2 benchmark illustrated on Page 13 has been changed from our high sulfur diesel to Ultra low sulfur diesel for the distillate component of the equation. This benchmark better aligns with our product yields and sales. Hopefully this increased transparency will provide better visibility into the underlying performance of the business. With that, we'll move to Slide 5, which highlights our capitalization. We ended the second quarter, with $849 million of cash on a consolidated basis and $1.6 billion of net long-term debt, excluding debt Delek logistics of $979 million, we had net long-term debt of approximately $627 million at June 30. Moving to Slide 6, we provide third quarter guidance for modeling. We remain confident that we will meet or exceed the full year guidance provided on last quarter’s conference call for $100 million in operating and overhead cost reductions. With that, I will now turn the call over to Louis to discuss our operations and CapEx.
Louis LaBella: Thanks, Blake. During the second quarter, our total refining system crude oil throughput was approximately 266,000 barrels per day. Our niche market locations continue to support running at higher utilization rates versus the industry. In the third quarter of 2020, we expect crude oil throughput to average between 230,000 to 250,000 barrels per day or approximately 80% utilization at the midpoint. On Slide 7, I want to highlight our capital spending. Capital expenditures during the second quarter were $15 million. We remain confident we will hit our full year 2020 capital guidance of approximately $250 million to recall CapEx excludes the JV investments like Red River, as well as the Wink to Webster connector where financing will be provided by the joint venture. The 2020 capital program is broken down by segment as outlined in the slide. I would point out that roughly 81% of the full year capital program was completed and the first half leaving minimum outlay for the balance of the year. Next, I will turn the call over to Uzi for closing comments.
Uzi Yemin: Thank you, Louis, and good morning everybody. Our strategic transition towards the business model and with more stability and predictability is well underway. Our midstream investments are coming to fruition and should lead to progressively improving performance over the coming quarters. Our diversified portfolio continues to provide the resilience during this period of weak refining margins, with the logistics and retail segments generating a contribution margin above $80 million collectively. The outlook for these businesses remains robust, despite macro volatility and strong logistics performance supports our 71% ownership in DK. Delek has the long history of being nimble and we remain agile in terms of managing our costs and capital spending to manage the prevailing macro environment. We are committed to maintaining a strong balance sheet with ample liquidity and are well positioned to withstand macro volatility, while maintaining our quarterly dividend payment of $0.31 per share. With that, operator, can you please open the call for questions?
Operator: [Operator Instructions]. Our first question today comes from Neil Mehta with Goldman Sachs.
Neil Mehta: Good morning team. And thank you so much for taking the question. But I guess the first question would be your perspective on M&A, recognizing there's a lot that you can't say here. EVI made some comments on their call yesterday, but your thoughts on consolidation in the industry, whether there's a need for it in whether you see Delek playing a role in it.
Uzi Yemin: Well, good morning, Neil. First, if they come -- if the industry is wide for consolidation? I think we're approaching that point. I don't know that we are there yet. But I think that we're approaching that point, especially in light of some assets closures, if you will, that several people or many people understand that there should be some differences, if you will, in the marketplace. So I think we're approaching the – that point. In regard to Delek rolling it all along in times like that, we need to keep our eyes open for the opportunities that exist in the marketplace. And so that's for us something that the reason we maintain this strong balance sheet and also we feel good with the fact that there are two other segments that we have, both retail and midstream are performing well. That allows us to feel strongly about ourselves.
Neil Mehta: I appreciate that. I guess a follow up is just on working capital in the quarter. It was a big number. There is a tax -- deferred tax item I think embedded in that, can you just talk a little bit about working capital how it reverses and then talk about the tax as well and how we should be modeling that?
Reuven Spiegel: So good morning, this is Reuven. The number of working capital of negative $363 million is comprised of three major number 1) is a $200 million non-cash LCM reversal. The other one is $130 million increase in tax receivable which we expect to get in the first half of 2021. But I'll pause that for a second -- I’ll pause here for a second in the first quarter, we had $60 million of tax receivable the $130 million is the change in the second quarter, which makes the total $190 million of the $190 million $160 million is federal tax and $30 million is various state taxes that we expect to get in the first half of 2021. And in addition to that there is a $36 million increase in inventory for SVR.
Neil Mehta: Great guys, thank you.
Operator: Our next question comes from Benny Wong with Morgan Stanley. Can you hear me?
Benny Wong: Hello, can you hear me?
Operator: We will go – we can hear you now go ahead.
Benny Wong: Hey, sorry about that having issues here. I just want to get your update on the midstream business. And your outlook there. I know your team has been really focused on growing that business. But just curious in terms of getting your updated views on what the business environment might look like coming out of this downturn. And is there anything new we need to think about as you guys move towards your targeted EBITDA growth there?
Uzi Yemin: Well – first, good morning, Benny. We said all along over the last 24 month that we want to create more stability to Delek US earnings power. And we provided -- I think we demonstrated that this quarter with midstream being around $65 million of EBITDA. We did say that the outlook continues to be positive. And we expect to improve that number over the next few quarters. And then obviously, we have the Wink to Webster idea that fits right now on Delek US. We have several avenues now with several agreements that we can take. There are some different points. We will have the ability to do to take those from midland or cushion all the way to the Gulf. So we continue to look at that strategically and we continue to think that we need to provide more stability to our earnings power. So for us, and we said that all along $400 million EBITDA over the next two to three years is our target. We said with this 70 to 390 I think would quite surprise we think about 400. We don't see any reason why we won't be on track to achieve that.
Benny Wong: Okay, appreciate those thoughts, Uzi. Second question is around your retail business. You had a pretty strong quarter in terms of margins and merchandise sales. Just wanted to get a sense of the factors you're seeing driving that. How does that compare to July? And do you expect those trends to kind of continue into the third quarter?
Uzi Yemin: We did see double-digit in the quarter, July is going by memory I think it's like 9%, same store sales. We mentioned that in the past several components first, the fact that people sit at home and they go out. So they go in and out to convenient stores. I'm sure you heard it from our peers. Second in our areas, the big boxes don't operate any more 24 hours. So after hours businesses is picking up or picked up has picked up. And the third component is people really don't want to stand in line outside big boxes. So they prefer to do their shopping at least in our areas in and out. So these are the three reasons.
Benny Wong: Great and do you see these trends still persisting or do you think it's just more of isolated event that will change as we kind of get past this COVID whatever that timeframe maybe.
Uzi Yemin: We're in unusual times, it's hard to predict. Do I think that we can sustain 12% or 13% over same store sales probably not? But I think people are changing their behaviors a little bit. So I expect over the next two, three years to have strong merchandise sales in the stores. Again, it's hard to predict but if I need to get.
Benny Wong: I appreciate it. Thank you so much.
Operator: Our next question comes from Manav Gupta with Credit Suisse.
Manav Gupta: Hey, Uzi. So back in ‘16 you had a good retail business making $60 million $65 million EBITDA incomes [indiscernible] offers you nine times you take it and you sell it. The multiples today are much higher. I'm just trying to understand can history repeat itself you don't need the cash last time you needed to close that on, but the multiples are higher than they were even last time and you build this business out. So is there a possibility history repeats itself?
Uzi Yemin: We're looking at that business always or every business. We're focusing now on continue to build the Bismol. But we're always open to a discussion around multiples. And we were very proud Manav, I think I mentioned that to you with the fact that between retail in midstream we are approaching $82 million to $83 million EBITDA for the quarter. So these are higher multiple businesses. You see it in the DKL performance and if an opportunity to get high multiple accounts then we will look at it very carefully.
Manav Gupta: Great and Uzi a quick follow up, a lot of progress was being made on [Krotz], in fact I think last quarter Krotz was your best performing asset. This quarter, it's gone a little other way I am just trying to understand was it all one times like Krotz was doing really well until this quarter? So if you could tell us what happened with Krotz this particular quarter?
Avigal Soreq: Hey, good morning Manav, this is Avigal. So there are two elements, those numbers fell off the between physical loss and contribution gain that we called out in the reconciliation. I think you've got the answer from Blake on that. And the second Krotz sales are based upon bulk and we have seen higher value in Q1 in some small gap in Q2 so that’s expanded the [indiscernible].
Manav Gupta: Well. Thanks, guys.
Operator: Our next question comes from Ryan Todd with Simmons Energy.
Ryan Todd: Hey, thanks, good morning. As -- I’ll maybe start on one on strategy as your business model continued to transition towards more stable cash flow. Can you talk about priorities for using the cash and particularly how we should think about the dividend -- sustaining the dividend in the near-term and longer term growth?
Uzi Yemin: That's a great question. First, it is correct. We want to create more stability around our earnings. In the past we used to be known based on differentials. And I think that what we're trying to do is to continue to increase that stability. Speaking about the dividend, we got a lot of questions about the dividend during the quarter obviously, what the reason we chose to continue with the dividend is that the outlook for both midstream as well as retail is very bright -- and are bright. And we didn't see a reason to punish our shareholders over weakness in the refining. Now, obviously, if the weakness in refining continues, then we will look at that, especially in light of -- like I just said, other opportunities that exist in the marketplace.
Ryan Todd: Okay, thanks. I guess if this weakness -- that the weak operating environment were to persist, then there could potentially be a change in dividend policy there?
Uzi Yemin: That's something that we look at it every quarter. So we -- I don't know that we necessarily need to make a decision now or make an announcement. We don't have a decision. We do need to look at it every quarter. We look at dividend is something that is versus buyback something that is much more long-term. And as a Reuven said we have $850 million on the balance sheet plus the tax credit of call it $130 million. So that's something that we will look at it every quarter.
Ryan Todd: Okay, thanks. Maybe if I could follow up with one on the current environment utilization I mean with cracks are still relatively soft and capture trends. As we think about capture trends in the third quarter, we still have relatively narrow differentials and the [contagos] what it was during the second quarter. Can you help us frame the relative competitiveness of operating and third quarters versus 2Q and what that could mean for your utilization rates in the second half giving you a pretty strong in the second quarter?
Louis LaBella: Good morning, Ron, this is Louis. So yes Ron you said its over [indiscernible] differential, it does not exist. So, we are anticipating 80% utilization in Q3 mainly to keep up pace with demand in our local markets. And also we want to make sure we focus on not building any inventory. Right, so we want to stay competitive with that.
Blake Fernandez: And Ryan, this is Blake, I'll chime in on the on the capture side of things. There's not a lot of things that are going to change quarter-to- quarter necessarily, as you know, in the prevailing environment, it's a low margin environment, it makes it a little difficult on capture because you have some fixed cost components. So as a percentage that hurt you, but the one uplift we should get going into next quarter it’s [Krotz] Avigal already mentioned, the impact of bulk versus ratable sales. But we are restarting the FCC unit there. So you should see an improvement in gasoline yield. And so in theory, you should see a little bit of uplift and capture at Krotz, which potentially could serve as a little bit of a buffer for any compression and contango in Midland. So hopefully that helps.
Ryan Todd: That's great. Thanks for the color.
Operator: Our next question comes from Phil Gresh with JP Morgan.
Phil Gresh: Hey, good morning, I just want to follow up on Ryan's question just around the third quarter. And the lower utilization comment that you made, is it just spread out across the refineries or any area in particular, where the lower and then just with the OpEx guide that looks sequentially higher? I'm just trying to understand what drove it down so much in the second quarter. And just as you think about this as the sustainability of the cost savings that you've outlined, where do we stand with that?
Uzi Yemin: So two different questions and good morning Phil. The first one around utilization, for the most part, we are running Big Spring full and the rest of that on the economic situation and the LP, but you can assume for modeling standpoint that Big Spring is running full. In regard to OpEx I'm sure Blake would love to pick that call – that question.
Blake Fernandez: Hey, Phil, good morning. Yes. So at the end of the day, we're going to stick with our $100 million dollar reduction in OpEx and G&A year-over-year. If you -- we obviously have two quarters in the bag, and we have guidance for 3Q. So if you take the midpoint of guidance for 3Q and you extrapolate that to 4Q, you can see that we're well on our way. Theoretically, it could almost be $125 million, but we're not going to change guidance. We want to be conservative. So I think the main messaging on the full year basis is we're delivering on what we said and we feel very comfortable. We're going to meet that to your questions specifically on 2Q in the ramp up to 3Q there's a couple of different components in there. One is just some deferral of maintenance activity from 2Q that's going to restart into 3Q. There is the restart of the FCC unit that I mentioned across. So there's some costs around that. And then there's a couple of renewables plants that are coming back online. So we do have some incremental costs. But like I said, even at the 3Q level extrapolated to 4Q, we're going to exceed the cost guidance on a full year basis.
Phil Gresh: Okay, got it. And second question is just another cap allocation one as we look at 2021 and I think it’s little bit early, but just any initial thoughts on potential capital spending levels next year and Uzi you had mentioned at our conference not too long ago, you're talking about renewable diesel as a potential investment opportunity. So I just thought I'd see any latest thoughts you have on that. Thanks.
Uzi Yemin: Okay, so these are two different questions. It depends on the macro environment. If the macro environment stays where it is, we'll trim it down it -- for next year. I mean, if we -- if things will improve and honestly, we don't believe that this year they will improve dramatically from where they are now. But next year there is a -- there's a chance that they'll improve and we'll open it up. In regard to renewable diesel, we mentioned that in the past, we cannot talk about it, unfortunately, because of some disclosure issues we have with our partners. But we do have an option to buy one-third of renewable diesel that another company builds now as part of our bigger field deal, that is an option for a nominal amount. And I’ll leave to that as we work our disclosure issues with our partners will be happy to provide you for more details. But we do have an option to buy into for a nominal amount into renewable diesel plant in California.
Phil Gresh: Okay. Just on the ‘21 CapEx, can you give us an order of magnitude of the flexibility you would have year-over-year if the environment continued to be challenged?
Uzi Yemin: Look, we can swing no problem between $75 million to $125 million.
Phil Gresh: Okay. All right, thank you.
Operator: Our next question comes from Brad Heffern with RBC Capital Markets.
Brad Heffern: Hey, good morning, everyone. Thanks for taking the questions. I'll start-off to some detail. So obviously the units have come back almost all the way from the trough. So I am wondering if that that sort of reiterates your commitment to that as the sort of separate vehicle or whether you still think that the performance there needs to improve sort of for its add value for DK?
Uzi Yemin: That's a great question. The units have performed very well, but still, the yield is pretty high. Our cost of capital is below 12%. So while MLPs in general, were out of favor like any other vehicle with the energy sector, we performed pretty good it's funny, though, that we increased our EBITDA almost five times in the units around where they were five years ago. So that's something that we need to look at it carefully in the future. I do believe that eventually, something needs to give. And so MLPs need to be traded at 12 times or 14 times or 16 times yield. And when the time comes, then we need to look at it strategically. It is something that we're very proud that DKL has performed as well as it did.
Brad Heffern: Okay, great. And I was just wondering if you had any thoughts on the Gallup closure? I know it's obviously pretty far to the West. But does it have any impact on the product or crude sourcing sides of the business for Big Spring?
Uzi Yemin: Well, first the closure itself, you probably need to ask Marathon does it have impact on us in the Big Spring area, where we sell as you know, products to a new Mexico out of Big Spring so that helps. We are in an environment as you know of utilization around between 75% and 80%, that's not something that is a surprise to anybody. So closure of small refinery like this in today's market doesn't mean much. But in the future and certainly I think that there should be other closures. They [add] up and when the market comes out -- comes back, we will see the impact.
Brad Heffern: Appreciate the answers. Thanks.
Operator: Our next question comes from Theresa Chen with Barclays.
Theresa Chen: Good morning. I guess, my first question as a follow up to Brad's question on the Gallup closure, Uzi would like to pick your brain about the macro environment as we are firmly in the second half. How do you see refining economic is evolving from here in terms of getting [indiscernible] in margins better getting back into the right inventory range, is it a question of additional closures or tweaking utilization further across the industry? What are your thoughts here?
Uzi Yemin: Well, first Theresa, these are really good questions but I'm not sure. We have the answers completely. I'm just going by the history. If we look at what happened in 2008, it was a combination. Now, the magnitude of 2008 wasn't anywhere close to what we see here. I think that there should be -- we think there should be more closures of refineries. I think that if people -- everybody came into this down cycle with a lot of cash, so it will take a little more time, as people realize that there should be more closures. I think right now we're talking about so far, five refineries that were shut either permanently or are not operating. I think that there should be probably a few more that will be shut and at the same time demand should come back. Now -- do I expect this to happen over the next two three months? Probably not. I think that we were in this environment for a little bit maybe two three quarters. And that something that we all need to be disciplined as an industry to handle.
Theresa Chen: Got it. And then in terms of your long-term strategy to high grade your earnings and provide more cash flow stability by transitioning incrementally to midstream, so currently your projects are primarily from a supplied push perspective. Many midstream operators as well as refining competitors have given commentary shine away from that just given the volatility upstream, as you go forward and develop further projects down the line. Are you still looking at a primarily supply push strategy or are you focused more on demand pull side of things?
Uzi Yemin: Well, it obviously, many things changed over the last six months. So, we -- while we continue to be committed and should be committed to more stability in our earnings, and not to be the proxy for the Midland differential. At the same time, we need to be mindful to the changing market. So I don't know that I can articulate now, a long-term strategy. That's what we're doing right now. We are committed to long-term stability. At the same time, want to make sure that when the market comes back and the market will come back. I've been here long enough to see it every time when it's so such doom and gloom. All of a sudden something happens. So when the market comes up, we're here to capture that. I don't know that I can articulate in this call, long-term strategy especially in light of the change in the market vis-à-vis the questions you asked.
Theresa Chen: Okay, and then maybe just, one quick housekeeping one for me. So, on the [crops] asset, the quarter-over- quarter uptick in the other products to almost 19,000 barrels per day was that just related to building intermediate as you turned down some of the downstream units and just any color on what was going on there and how should that trend going forward?
Uzi Yemin: Why don't we do this [indiscernible] us trying to answer it on the slide, Blake will take it offline with you. And obviously, it's important to everybody, we will publish it.
Avigal Soreq: I’ll follow up with you.
Theresa Chen: Okay, great.
Uzi Yemin: Thank you.
Operator: Our next question comes from Doug Leggate with Bank of America.
Unidentified Analyst: Hey, guys, good morning. This is [indiscernible] on for Doug. I guess my first question is really on your cash balance. It's still very strong here wondering if there's any plan to deploy that strategically or should we think about that as insurance for the duration of this pandemic?
Uzi Yemin: That that’s – good morning [indiscernible]. That’s a good question. We always say that between $800 million and $1 billion this is where we are comfortable. We don't know how long this trend will last. We've been into it now last five months. So I don't know that we will necessarily feel that we are -- we have too much cash at the same time if opportunities show themselves, then there's no reason to believe that we won't act.
Unidentified Analyst: Okay, thank you. For my follow up question. I just want to get your updated thoughts on the [core] differential structure given that U.S. producers seem to be acting a little bit more disciplined and obviously there is a supply shock because of the pandemic. What's the view on Midland push going forward?
Uzi Yemin: I think that for the next year or two we will stay along [indiscernible] it's now $3, I think we'll probably widen a little bit maybe to $3.5 to $4, but nothing much here.
Unidentified Analyst: Thank you. And – so my last question I just want to ask about the retail business. So Delek has a strong record of managing this business, why not stepping into it a little bit more aggressively. It seems like the store count is down from when you guys took it on from Alon.
Uzi Yemin: It is, but just remember that we're building mega stores. So when we divest 10 stores, we build a store that makes 10 times that volume, so we are trying to modernize our stores and it shows in the earnings and probably will continue to show in the earnings that these MPIs new stores are performing very well for us.
Unidentified Analyst: And why not accelerate its growth?
Uzi Yemin: That's something that we're looking at very carefully. We need to balance between retail, midstream, returning cash to our shareholders. These are all the things that we try to do.
Unidentified Analyst: Great. Thanks for taking the questions.
Operator: Our next question comes from Matthew Blair with Tudor, Pickering, Holt.
Matthew Blair: Hey, good morning Uzi. Could you talk about the contribution from Asphalt in Q2? Was that a bright spot with lower crude prices?
Uzi Yemin: Hey, Matthew yes, I don't have any hard numbers to give you but what I would just tell you is the stickiness in those margins, and a lot of that is sold on a contracted basis. So when you see a collapse in crude prices, you do tend to see a nice uptick in the margin for Asphalt. At the end of the bulk of our exposure, there is El Dorado and I think to a certain extent Big Spring as well. So it was it was definitely additive to the to the overall picture.
Matthew Blair: Sounds good. And then Uzi, you mentioned a few times you expect more refinery closures. How are you thinking about the competitiveness of Krotz and El Dorado just given this low demand environment? Are you pretty confident those refineries will stay up or is that something that you're looking at right now?
Uzi Yemin: That's a wonderful question. First of all, I'm sure that Big Spring and Tyler are doing good. Now you asked a great question about what is the rate on cost, so let me take them one by one here. El Dorado we invested a lot of money in that refinery, it's now a very reliable, we just need to remember that El Dorado get some of around 20% of its production from or 20% of its crude from local production which we buy at a deep discount. If we can get it -- if we can get these producers to produce a little more which we're trying to do then crawl, Krotz sorry El Dorado will be as competitive as Big Spring. We just need to work on it a little more. And I think we have a plan. And don't be surprised if we'll execute on that plan over the next few quarters, especially in light of crude coming up more for that’s one thing. Second in Krotz. In Krotz, we have a project that we're not ready to disclose just yet. It's not a lot of money. We're looking at something over there that can increase the competitiveness of the refinery. We just need to remember that all these four refineries are lightweight refineries, and they all got hurt in this time when produce are stopped producing. But now as they come back, if we assume that what comes out of the market -- what comes into the market is [light weight] barrel? Then these refineries would be competitive. But I think that any of them is a candidate for closure at this point? I don't think so.
Matthew Blair: Thank you.
Operator: Our next question comes from Jason Gabelman with Cowen.
Jason Gabelman: Good morning. I had a two questions first, on the Red River expansion project, I believe that started off now and I know there's some logistics EBITDA that you get from that expansion. But I think in the past year, I've discussed the potential for also some commercial earnings from that expansion with a wider Cushing and Midland differential given that the Cushing and Midland differential has come in, is there still earnings potential from that expansion above whatever the fixed fees are on that pipeline, and I have a follow up. Thanks.
Avigal Soreq: Jason, Good morning. It's Avigal. So as you all know, the business model of refineries rely on optionality and flexibility and they over the time Red River optionality and flexibility to get to source small Cushions will pull itself into the capture it in the refining. We do not need to measure that over the Midland Cushing differential as we see now. But overtime, it will present a very nice capture it's within refinery.
Jason Gabelman: Okay, got it. And then the second question, you've mentioned M&A opportunities a few times so just wondering within the three business segments that you operate and where do you see opportunities or where are you most eager to expand between refining midstream and retail, if at all and specific to refining are there specific regions that that you think are most opportunistic for you guys? Thanks.
Uzi Yemin: Jason. That's a good question. But it depends on -- if you are a buyer or seller and M&A opportunity exists in all these three segments, we just need to make sure that we create enough value for our shareholders and I'll it to that.
Jason Gabelman: All right. Thank you.
Operator: This concludes our question and answer session. And then I would like to turn the call back over to management for any closing remarks.
Uzi Yemin: Well, appreciate everybody's good question this morning. Appreciate our management and executives around the table with me here. Everybody is doing great job in these times. I’d like to thank you investors and all for your interest in our company. I'd like to thank the Board of Directors for their trust in us. And mostly I'd like to thank each one of the employees that during this time, stayed safe and healthy and made this company what it is. Have a great day. Stay safe. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.